Operator: Good morning and welcome to the Dollarama Fiscal 2024 Third Quarter Results Conference Call. Neil Rossy, President and CEO; and Jolyane Caron, Vice President, Corporate Finance and Treasurer will make a short presentation followed by a question-and-answer period open exclusively to financial analysts. The press release, financial statements, and management's discussion and analysis are available at dollarama.com in the Investor Relations section as well as on SEDAR. Before we begin, I have been asked by Dollarama to read the following message regarding forward-looking statements. Dollarama's remarks today may contain forward-looking statements about its current and future plans, expectations, intentions, results, levels of activity, performance, goals or achievements, or any other future events or developments. Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results, levels of activity, performance, achievements, future events or developments to differ materially from those expressed or implied by the forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statement will materialize, and you are cautioned not to place undue reliance on these forward-looking statements. For additional information on the assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in Dollarama's MD&A dated December 13th, 2023 available on SEDAR+. Forward-looking statements represent management's expectations as at December 13th, 2023 and except as maybe required by law. Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. I would now like to turn the conference call over to Neil Rossy.
Neil Rossy: Thank you, Operator, and good morning, everyone. Our financial and operational performance in the third quarter of fiscal 2024 and year-to-date reflects sustained consumer demand for our broad range of affordable products and the overall convenience we strive to provide every day. For Q3, we generated a sixth consecutive quarter of double-digit SSS growth. Compared to the same quarter last year, EBITDA grew 24% and EPS over 31%. We also delivered an industry-leading gross margin, which now reflects the normalization in the supply chain and lower inbound shipping costs. On the operational front, we opened 16 net new stores, bringing the total number of net new stores opened fiscal year-to-date to 55 and our total store count to 1,541. Having successfully taken some of the historical pressure off the busy last quarter of the year, we are on track to achieve our annual target of 60 to 70 net new stores. Importantly, we entered the fourth quarter, our highest sales quarter historically, with well-stocked, well-merchandised holiday-ready stores. This speaks to the strong and disciplined execution of the team from head office to logistics to field management and store associates. The Dollarcity team in LatAm is also executing right on plan from both a financial and operational perspective. They just celebrated the opening of their 500th store subsequent to their last quarter-end. For some perspective on their progress, when we first partnered with Dollarcity in early 2013, they had 15 stores in two Central American countries. By the time we acquired our 50.1% equity interest in 2019, they had over 190 stores delivering a localized version of Dollarama value proposition and shopping experience in three markets. Here we are today capping off 2023 with 500 stores and counting in four countries. Huge kudos to the entire Dollarcity team on reaching this impressive milestone in such a short period of time. Ultimately, Dollarama's performance across the board continues to reflect the relevance and strength of our compelling value proposition and simple growth-oriented business model. The last few years have truly reinforced the fact that Dollarama is a key shopping destination for all Canadian consumers. Our model resonates with those looking for value for their hard-earned money and for convenience in a time-pressed world. But we aren't taking any of this for granted. To keep both our long-standing customers and new customers coming back, we must stay true to the fundamentals of our business, our convenience and value promise. This is anchored in our proximity to our customers, in our procurement, logistics and merchandising expertise and in our unwavering commitment to being a price follower. These remain relevant regardless of the macroeconomic context, but more important than ever and a challenging one. As we head into the crucial fourth quarter and gear up for next year, our focus is on preserving and strengthening our role in the shopping habits of consumers. We will do so by focusing on the elements within our control by continuing to offer the best relative and year-round value across our product offering and in each of the categories in which we compete. Regardless of how consumer behavior will evolve in what remains an uncertain context, what is certain is our commitment to be there for all Canadians as they adapt to the economic environment. Jolyane, over to you for a closer review of our financial results.
Jolyane Caron: Thank you, Neil. Let's drill down on our Q3 results and expectations for fiscal 2024. SSS grew 11.1% in Q3 over and above 10.8% growth for the same period last year, primarily driven by sustained customer traffic. While consumer product sales continue to be stronger than they have been historically, we are seeing higher sales across all categories. For example, we had a great Halloween this year, which is a good indicator of the relevance of the value proposition across all departments. Based on SSS to date, we are increasing our full year SSS guidance from a range of 10% to 11% to a range of 11% to 12%. Anticipated gross margin expansion through the second half of the year is now materializing. For Q3, we delivered an exceptional margin of 45.4% of sales. This fully reflects lower container costs and was also boosted by lower logistic costs. Looking at the full year, we expect to be in line with, but towards the higher end of our annual gross margin guidance range of 43.5% to 44.5% of sales. SG&A was 14.5% of sales for Q3 compared to 14.1% in the same quarter last year. SG&A as a percentage of sales crept up to this year-over-year due to higher store labor costs and the timing of certain store expenses, namely maintenance. Higher labor costs reflect more hours distributed in preparation for the busy holiday season as well as wage increases taking effect. Looking at the full year, we expect to be in line with our annual SG&A guidance range of 14.7% to 15.2%, but likely lower than as previously indicated. Our 50.1% shares of Dollarcity's net earnings was $18 million compared to $9 million for the same period last year, continuing to reflect their strong execution. Back to Dollarama, EBITDA grew 24% to $478.8 million or 32.4% of sales, and dividend net earnings per share increased by 31.4% to $0.92 from $0.70. On capital allocation, we remain active on the NCIB in the quarter with the repurchase of over 1.7 million shares for $166 million. The Board also approved a quarterly cash dividend of $0.0708 per share. As part of the active management of our capital structure, we completed a bond offering during the quarter for proceeds of $500 million. Proceeds were then used subsequent to the quarter-end to pay off the notes that came due this past November. Following the offering and repayment, the effective blended interest rates on our outstanding senior unsecured notes remain substantially unchanged. Turning now to our outlook for fiscal 2025, the path of the economy and its impact on future consumer behavior remains hard to predict. We will be looking closely at all the key holiday season and early 2024 playoff as well as how the economic environment evolves as we set our expectations for fiscal 2025. As a result, we will provide guidance for next year in conjunction with the release of our Q4 results in March. Based on what we see so far, our sentiment is that normalization in SSS trends will continue as we last two years of double-digit SSS. The next few months will be determining factor as we develop our fiscal 2025 outlook on this key metrics. Importantly, we have strong conviction in our fundamentals and in the relevance of the value and convenience we offer consumers in any economic environment. Our performance to date reflects that and we will keep our focus on delivering on our value promise to Canadian consumers from coast to coast. That concludes our formal remarks. I'll turn it over to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question comes from the line of Irene Nattel with RBC Capital Markets. Your line is now open.
Irene Nattel: Thanks and good morning everyone. Great quarter again. Wondering what Q4 to-date is looking like, what you're seeing in terms of consumer demand across categories and whether you're seeing any meaningful sort of slowing or weaknesses, not on a year-over-year basis but just in general as we're heading into the all-important holiday or as we're coming toward the end of the all-important holiday period?
Neil Rossy: Good morning Irene. So far it's business as usual. There's not been any surprises, but I think that's all I'm allowed to say.
Jolyane Caron: We're seeing strong consumer demand. We continue to see strong consumer demand. But Irene, as you may recall, we had a very strong quarter last year, about 16% SSS. So we're comping a very strong quarter. So we continue to see normalization in the SSS trends, which is already embedded in the full year SSS guidance that we updated. But I think it's important to say that we see strong consumer demand across all categories. But we'll need to see the next few weeks with our key for the rest, sorry, for the full year and next year.
Irene Nattel: That's helpful. Thank you. Often you will give us the quarter-to-date trend. Will you give it to us this quarter?
Jolyane Caron: It's embedded in the full year guidance range. So if you imply your Q4, you'll get a good sense of a cadence.
Irene Nattel: Thank you. And then just on a completely different topic, Dollarcity had very strong demand or very strong results in Q3. It was a notable step up. How should we be thinking about sort of the seasonal progression at Dollarcity and you know what were the drivers of that number and how should we be thinking about it going forward?
Neil Rossy: I think one of the takeaways is that the Dollarcity business and the Dollarama business seem to reflect many similarities with regards to trends and consumption overall. We don't disclose details within the Dollarcity business itself, but their progress continues to be very much based on market acceptance and store openings. We're extremely pleased with the execution from the leadership team at Dollarcity. And I think that covers it.
Irene Nattel: That's great. Thanks, Neil.
Neil Rossy: Thank you.
Operator: Thank you. Our next question comes from the line of Emily Foo with BMO Capital Markets. Your line is now open.
Emily Foo: Hi. Good morning. Thank you. I'm here in place for Tamy. So just looking further out, the trade down traffic that we saw coming into Dollarama over this past 12 to 18 months, let's say when the economy gets better again and that trade down traffic goes back up and then may retrench back to other retailers. What is in Dollarama's toolbox and levers that you can pull to keep comps positive as we come through this trade down effect?
Neil Rossy: Well, over the history of time, the trade up and trade down effects can both have positive effects on Dollarama. When they're trading down, people -- consumers tend to look at Dollarama as a solution to having to trade down. And when the market and the economy are strong, there are just more dollars to spend, so Dollarama gets its share of those dollars, even if the percentage is smaller than it would be when there's a trade down. So I think that's part of the strength of our business model is that it's resilient on both sides. The refresh of our merchandise and proper execution are key also in keeping the consumers coming back when the economy shifts in different directions. And I think when customers come to us during the highs and the lows, the most important thing is that we convert them into believers in Dollarama value and convenience, so that they keep coming back regardless.
Emily Foo: Great, thanks. And also just a second question. How would you describe the current pricing environment that you have now? Are you starting to see any pushback in terms of price mark-ups and how about the -- what you see in your competitive space?
Neil Rossy: Generally speaking, the space is stable. On some of the core consumables, I think, the market is tightening up a little bit and pushing back on pricing. But it's a very difficult situation because the domestic manufacturers and vendors, as I've explained on past calls, continue to push costs up. And retailers are doing their best not to push those costs onto the consumers, but retailers can only absorb so much. Imports are fairly stable and I think whatever deflation was happening has come to -- has normalized. And if domestic manufacturers and suppliers continue to push on cost, for whatever their reasons, retailers will have to continue to pass on those costs in higher retail. For now, I think it's fairly stable.
Emily Foo: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Vishal Shreedhar with National Bank. Your line is now open.
Vishal Shreedhar: Hi. Thanks for taking my questions. Just wondering, looking at the traffic trends and the basket trends, obviously traffic is very strong. And from a management standpoint, is there a mix between traffic and basket that is preferable for you? Or is it leaning too much one way or the other in your eyes or you'll take it how you get it?
Neil Rossy: We'll take it as we get it.
Vishal Shreedhar: Okay. Following along the lines of that question, just given that the basket size increase was seemingly less than inflation, and I presume less than the inflation in the system, does that suggest that the number of items in the basket has reduced and customers are coming more frequently to the stores than they otherwise might have. Is that what's driving the traffic or is it also market share gains? Can you give us context on the two?
Jolyane Caron: I mean as you know we're not providing any information on what is coming from units versus ASP. What we see is consumer coming and purchasing and we see a strong performance across all categories. So for us we're mostly focused on getting that consumer in and making sure that he finds what he needs in our stores.
Vishal Shreedhar: Okay, thanks. I'll circle back.
Operator: Thank you. Our next question comes from the line of George Doumet with Scotiabank. Your line is now open.
George Doumet: Yeah, good morning, Neil and Jolyane. Can you talk a little bit more about seasonal? I think you mentioned how wind was strong and maybe how Christmas is trending quarter-to-date, please.
Jolyane Caron: I mean, we're just at the beginning of December. I mean, mid-December. I would say the next few weeks will be key for Christmas. We did have a strong Halloween. I think our stores were well-stocked, so I think it's too early to tell for Christmas. What I can tell you is that we're very pleased with our in-stock position for Christmas goods in stores, so we feel we're in a good position. We'll need to see how the consumer is behaving in the coming weeks to have a better idea on how Christmas will perform.
George Doumet: Okay. I know it's early days, but assuming kind of a system mix of consumables going into next year. Can we generate like a healthy level of gross margin expansion from perhaps lower freight costs, from perhaps some deflation in some of our product costs out of Asia. Just any color, how to think about that?
Jolyane Caron: You mean for fiscal '25?
George Doumet: Correct.
Jolyane Caron: Yeah, So we're starting to benefit from lower freight costs. We said it previously in other quarters that we will be seeing that benefit in the second half of this year. We expect some of that good tailwind to continue into next year, at least in the first half. Too early to tell for the second half of next year. We'll negotiate our freight contracts later in Q4 or early Q1, so we'll have a better idea when we provide guidance in March. But some of the tailwind we see, effectively, should continue in the first half of next year.
George Doumet: Okay. This is the last one from me. Real quick, can you give us an update on shrink? I just wondered has that all worsened on a sequential basis? Thanks.
Jolyane Caron: Shrink is, as we said before, it has increased, but that's something we saw in the past 12 to 18 months. So it's all embedded in the gross margin guidance range that we have.
George Doumet: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Edward Kelly with Wells Fargo. Your line is now open.
Edward Kelly: Hi. Good morning, everyone. Thank you for taking my question. First question I have for you is maybe just a follow-up as it pertains to the gross margin. It looks like implied guidance for Q4 would have a smaller year-over-year gain than what you saw in Q3. And that, I think, also applies on a multi-year basis. I'm just kind of curious as to, you know, how you're thinking about, you know, the gross margin in Q4 and maybe why you wouldn't see more of a gain than what's implied in guidance there?
Jolyane Caron: I mean, the gross margin will be a factor of the sales mix in stores. And I compare to where we were last year. We feel very comfortable with the guidance range that we have and the implied -- gross margin that it implies for Q4 despite lower year-over-year growth if you will.
Edward Kelly: Okay. And then I wanted to ask about SG&A. You have obviously had quite a bit of SG&A growth over the last few quarters. I guess a lot of it pertaining to wages. Kind of curious, when do you think that the leverage point on SG&A would normalize? I guess should we be thinking about that in the back half of next year? Any additional color there?
Jolyane Caron: I wish I could give you the answer. It's too early to tell at this point. The SG&A, there's a big function of minimum wage increases that would affect that. And right now, where we stand, we haven't had any announcement from any provinces on minimum wage increase for next year. So we have no visibility yet for next year. So we'll need to wait until March also we'll get more visibility on minimum wage increases for next year.
Edward Kelly: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Luke Hannan with Canaccord Genuity. Your line is now open.
Luke Hannan: Thanks. Good morning. Neal, just going back to an answer you gave to a previous question. I believe I heard you correctly in that, in consumables, you are seeing some tightening up in the market, some pushback on pricing. And I believe you also mentioned that deflation has somewhat normalized. Is that specifically referring to consumables or is that other areas of the sermon you're seeing that as well? Specifically, I guess I'm asking about general merchandise. What trends you're seeing there as far as price goes?
Neil Rossy: No, general merchandise is, we haven't seen any change in the general merchandise, you know, retail price points. Really just core consumables.
Luke Hannan: Got it. Okay, thank you. And then I wanted to get a sense of -- there's mention in the press release and in the MD&A that SG&A for the quarter there was an impact from the timing of some operating costs in the period. Curious to know a) what those were and b) roughly what the quantum was and if there should be a benefit that we should be thinking about for some point over the next couple of quarters as a result of those costs being recognized in Q3.
Jolyane Caron: Yeah, I would say, it's more timing of maintenance expenses. We just have more volume this quarter. I would say we're also seeing increased costs on the maintenance from similar to what you will see on new construction. We've talked about it a bit on the real estate front. So nothing of an internal risk slide or anything like this. It's more of a timing under maintenance from this quarter.
Luke Hannan: Okay. Last one for me and then I'll pass the line. Neil, I'm sure we'll get a little bit more commentary on this when you're out with your Q4 results, but is the expectation going forward that in every year, I guess, as much as possible that you'll try to front load store openings is based on what you can see over the course of the next few months? Is that what the expectation should be for fiscal '25?
Neil Rossy: That has always been the desire. We are finally achieving that and I feel confident that for the next year or two we should be able to achieve the same type of timing.
Luke Hannan: Okay. Thank you.
Neil Rossy: Thank you, sir.
Operator: Thank you. Our next question comes from the line of Mark Petrie with CIBC. Your line is now open.
Mark Petrie: Thanks. Good morning. I just wanted to follow up again on the comments with regards to inflation. And just to clarify, Neil, when you say no change in general merchandise, you mean no change in sort of the deceleration in inflationary trends or no change, absolute change in price levels?
Neil Rossy: No, I would say the question, the original question was whether we're seeing tightening in the market and competition pushing back on retail. And the answer was relative to that. So we're not seeing any particular competitive reaction on general merchandise, but on core consumables we are seeing that the market is becoming more competitive.
Mark Petrie: Okay, helpful. Thank you for that. On the gross -- what's that? Sorry.
Neil Rossy: Extremely competitive in fact.
Mark Petrie: Yes, yes. Okay, good. And then on the gross margin, obviously, the lower freight and logistics costs are the biggest factor, but how's product mix impacting gross margin today versus, say, a couple of quarters ago?
Jolyane Caron: I mean, last year we said when we talked about the trade down, it was all in consumables. This year what we said is we're seeing actually across all categories. So product mix does have a little bit of a positive impact on the gross margin. But I would say the bulk is really lower freight costs flowing through the gross margin and lower logistic costs. And keep in mind, last year we were rebuilding our inventory position and processing high volume of goods both at the DC and in our warehouses. So that this occasion, if you will, has stabilized, so we don't have that incremental cut this year. So it's really lower freight costs, lower logistics costs, and a little bit of the product mix.
Mark Petrie: Okay, thank you. And one last question. Just with regards to the availability of labor, I think you guys have sort of navigated that really well over the course of time, but hopefully you could just talk about the availability of labor both for stores and for your distribution business.
Neil Rossy: I'm very pleased to say that on the distribution side, labor is stable, and has not been a challenge the way it usually is at this time of year, so that's wonderful news. Store level is, I would say, stable for the last couple of quarters. It's a bit of a challenge, but it's manageable. And we've adapted systems and processes to try to streamline the hiring process to make it as easy as possible for potential candidates and that's had a positive impact as well.
Mark Petrie: Okay. Excellent to hear. Thanks for all the comments and all the best over the holidays.
Neil Rossy: Thank you.
Jolyane Caron: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Morrison with TD Securities. Your line is now open.
Brian Morrison: Hi. Good morning. Neil, can we circle back to Dollarcity for a second? I know you gave an answer with respect to Irene's question, but your new stores are up 21% year-over-year, but your equity income contributions up 95%. I don't think it's just typical leverage from scale that's driving that. What are the other drivers that could have contributed to that such phenomenal growth? And can you talk about what we should be thinking about in cadence looking forward?
Jolyane Caron: I mean, I think Neil touched on it, but they're experiencing similar trends than what we see in Canada, which is strong consumer demand. We're very pleased with their performance. I would say you're starting to see also a bit the benefit of the business scaling. They're larger now, so you're starting to see some of that benefit. We won't provide guidance on where we think they'll be next year, but again, strong performance coming from the Dollarcity team and we're very pleased with that.
Brian Morrison: You've never had growth such as this going back in any of your quarters. Should we think that this is sustainable?
Neil Rossy: It's an excellent question and one that we're going to have to wait and see. We hope that the answer is yes and it might be yes, but it's too early in the business in some of the new countries and it's just too early to tell.
Brian Morrison: Sorry, Neil, I don't mean to pry here, but would the Peruvian business be experiencing higher margins than you would have thought?
Neil Rossy: We're very happy with the Peruvian business.
Brian Morrison: Okay. Last question. Jolyane, are you unhedged? I believe you are with respect to the US dollar relative to the renminbi. I believe you just do US dollar CAD hedges. And if so, the appreciation of the US dollar, should we think that, that should flow through to the bottom line?
Jolyane Caron: So we're hedging, I mean, 9 to 12 months ahead for purchasing. And the reason why we hedge ahead is to help us on the buying and the pricing strategy. So it would all be embedded in our guidance for next year when we come out in March.
Brian Morrison: Okay, thank you. But can you confirm that you're hedging just the US dollar CAD, you're not hedging your purchases in terms of the Chinese currency?
Jolyane Caron: Correct. We're hedging our USD, yeah.
Brian Morrison: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Li with Desjardins. Your line is now open.
Chris Li: Oh, hey, good morning, everyone. Neil, I know in the past you've mentioned that the pandemic had negatively impacted product innovation to a certain extent. I'm just wondering, from where you're sitting today, are you seeing some improvement in product innovation from your vendors, and maybe related to that, are you overall satisfied in terms of how you're leveraging your 425 plus price point to introduce new products into your stores? Thank you.
Neil Rossy: No problem. It's a pleasure. Unfortunately, the situation with regards to new molds, new product development around the world is still fairly stagnant with all of the global challenges happening. That being said, certainly the additional price points gave the buyers more flexibility on adding items that they might not otherwise have had, the ability to add at what they thought was a competitive price point. And it just puts the onus on the retailers, in our case, our buying and sourcing team, to be more creative and spend more time and energy developing new items ourselves. But no I have not seen a change globally on the amount of creativity and new molds being made. It's still tough from that perspective.
Chris Li: Okay, that's helpful. And maybe just on that, Neil, can you share some thoughts on how the consumer acceptance of the additional price point and I guess it's been a year and a half on how is that going overall relative to your expectations?
Neil Rossy: I think we're very happy with consumer acceptance. I think that as long as the execution from the buying team is what we always strive to achieve and that's great relative value, it gives our buying team another tool in the toolbox to help them navigate some of the challenges because when you have fixed price points you're always weighing the positives of holding back on a mark-up on a price increase, but the business is taking a beating when you do that. And at other times when you decide to take that mark-up, you worry about lost sales. So by having additional price points, it reduces the extreme nature when you have very fixed price points of potential negative impact on sales volumes, but it helps the buyers remain competitive for a longer amount of time. So it's helpful. I wouldn't want to have limitless. I think that the limited amount of price points that we have still creates a structure that forces a certain rigor in a retail company. And I think it's very helpful for the buyers to have that structure. And I think it's also helpful for the customer to have that additional simplicity as opposed to an infinite amount of price points.
Chris Li: Okay, thanks for that. And maybe one for you, Jolyane and when I look at your updated, if I take the high end of your updated four year same-store sales guidance, I mean that would imply Q4 is running around 4% to 5%, SSSG or on a two-year stack basis is around 20%. I know there's still a lot of unknowns, but based on what you guys see today, everything kind of works the way you expect it to be for next year. Do you think like a 20% two-year stack for next year is an achievable number?
Jolyane Caron: I wish I could give you the answer. It's too early to tell for next year SSS guidance. We'll need to wait until March for that.
Chris Li: Okay, no worries. I thought I would give it a try. Thanks, everyone, and happy holidays.
Neil Rossy: Thank you.
Jolyane Caron: Thank you.
Operator: Thank you. Our next question comes from the line of Martin Landry with Stifel. Your line is now open.
Martin Landry: Hi. Good morning. Wanted to touch on your cash balance. It's reached $730 million as of the end of October. So just trying to understand how you expect to deploy this cash in the coming quarters. Is there a preference between buybacks versus dividends?
Jolyane Caron: So there was, other than $730 million, $500 million were used to repay our bonds that came due this November. Remaining of the cash will be used in the quarter as we see fit. Historically, we've been active on our buyback. We expect to continue to be active with the extraordinary dividend as well. And that's pretty much what I can say.
Martin Landry: Okay. And just trying to see with the gain of share wallet, you know, is there any way for you guys to measure the number of new customers coming into your stores? Are you monitoring that metric? Is there anything you can share with us?
Neil Rossy: No. We do not monitor that metric.
Martin Landry: Okay. That's it for me. Thank you.
Neil Rossy: Thank you so much.
Jolyane Caron: Thank you.
Operator: Thank you. I'm currently showing no further questions at this time. This concludes today's conference. Thank you for your participation. You may now disconnect.